Operator: Good morning, and welcome to the Kinaxis Inc. Fiscal 2025 Second Quarter Results Conference Call. [Operator Instructions] I'd like to remind everyone that this call is being recorded today, Thursday, August 7, 2025. And I will now turn the call over to Rick Wadsworth, Vice President of Investor Relations at Kinaxis. Please go ahead, Mr. Wadsworth.
Rick Wadsworth: Thanks, operator. Good morning, and welcome to the Kinaxis earnings call. Today, we will be discussing our second quarter results, which we issued after close of markets yesterday. With me on the call are Bob Courteau, Interim CEO and Chair; and Blaine Fitzgerald, our Chief Financial Officer. Some of the information discussed on this call is based on information as of today, August 7, 2025, and contains forward-looking statements that involve risks and uncertainties. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the forward-looking statements disclosure in the earnings press release, as well as in Kinaxis' SEDAR+ filings. During this call, we will discuss IFRS results and non-IFRS financial measures, including adjusted EBITDA. A reconciliation between adjusted EBITDA and the corresponding IFRS results is available in our earnings press release and MD&A, both of which can be found on the Investor Relations section of our website, kinaxis.com, and on SEDAR+. The webcast is live and being recorded for playback purposes. An archive of the webcast will be made available on the Investor Relations section of our website. Neither this call nor the webcast may be rerecorded or otherwise reproduced, or distributed without prior written permission from Kinaxis. To begin our call, Bob will discuss the highlights of our quarter and recent business developments, followed by Blaine, who will review our financial results and outlook and open the line for questions. We have a presentation to accompany today's call, which can be downloaded from the Investor Relations homepage of our website. We will let you know when to change slides. Over to you, Bob.
Robert G. Courteau: Thanks, Rick. Good morning, and thank you for joining us today. I'm so pleased with second quarter results and would like to highlight a few items. First, very encouraged by how much new business we won. It was the highest amount ever for a Q2, and the second highest ever outside of a fourth quarter. Our ARR grew 15% as reported, and 13% in constant currency. Second, we grew SaaS revenue 17%, a strong result, or 14% in constant currency. Third, thanks to strong growth and thoughtful management of the business, profit hit record levels, as Blaine will explain. Our adjusted EBITDA margin was 25%, which helped us achieve our fourth consecutive quarter of Rule of 40 performance. We highly value consistency around this metric, so we're very happy with the result. Look, I'm thrilled with our performance in the second quarter. It's allowed us to increase our fiscal 2025 guidance for SaaS revenue growth, which is the engine that drives our business. Blaine is going to speak about all the elements of guidance shortly. As always, we added several new customers in the quarter. Enterprise class companies continue to be the highest cohort, and we're pleased to have won a couple of large enterprise accounts. Consumer products represented the high -- the biggest vertical market. And overall, we continue to be encouraged by our strong win rate. We're fortunate to be able to name just a sample of our new customers today, representing multiple vertical markets and our widening geographic coverage in consumer products. First, Lactalis based in France with 2024 revenue over EUR 30 billion, is the world's leading dairy group producing cheese, milk, yogurt, butter, cream and much more. Lactalis is in 50 countries, has nearly 270 dairies and employs over 85,000 people. McKee Foods, America's largest family bakery and in its fourth generation of family ownership offers brands like the famous Little Debbie, Drake's Cakes, and Sunbelt Bakery. P&L Development is a premier manufacturer, packager and distributor of over-the-counter pharmaceutical products and consumer health goods. In Life Science, we won Swedish Orphan Biovitrum or Sobi, a global biopharma company unlocking the potential of breakthrough innovations to transform the lives of people living with rare diseases. Sobi has approximately 1,900 employees around the world. Shimadzu, founded in Japan almost 150 years ago, is a global leader in developing and manufacturing precision instruments and equipment. Their products include analytical and measurement instruments, industrial machinery, aircraft equipment and products and equipment used in health care for diagnosis, treatment or measuring health, and to support the development of new drugs. In industrial manufacturing, we won Gebauer & Griller Kabelwerke or GG Group, an Austria-based global family-owned business that produces technically advanced high-quality wires and harnesses for automotive and industrial applications. And a nice win in logistics, we won SEKO Logistics based in the U.S., with over 150 offices in more than 60 countries. SEKO is an end-to-end partner from shipper to consumer. They deliver tech-driven shipping solutions that turn supply chains into a competitive differentiator. Obviously, we're pleased to win leading innovative companies like these. In fact, 3 of Gartner's 4 "Masters of Supply Chain" for 2025, their highest ranking are Kinaxis customers. So overall, there's still 14,000 prospects remaining in the vertical and geographic markets we target, and we have never been in a better position to win them. While adding new customers will be a major part of the Kinaxis' story for many years to come, I'm also very pleased with our ongoing momentum and expansion business. Half of gross additions to ARR came from expansions. In particular, it's encouraging to see for the fifth quarter in a row, applications and scenarios comprised together over half of the expansion amount, a very rare achievement previously. This reflects both the value of recent investments in new product R&D, and the incredible edge that our long-standing proprietary scenario analysis capabilities delivered to our customers. There is strong demand for Kinaxis' products because increasingly, the best companies recognize that supply chains are a key differentiator to their success. Old, siloed methods are collapsing. And so they turn to Kinaxis for the market's leading, AI-first, real- time, scalable, agile supply chain orchestration platform. From a product perspective, we're excited to see ongoing demand for some of our newer planning solutions like enterprise scheduling and supply.ai, which we now call supply optimization. The richness and breadth of our core planning algorithms, developed through decades of industry experience, and the unique proprietary data they generate will remain a massive differentiator for Kinaxis even as AI becomes more ubiquitous amongst existing players and even new entrants. This is especially relevant in supply chain where complex logic modeled via tools such as heuristics, optimization and predictive AI is critical for optimizing the design and execution of the supply chain to meet business objectives. We'll continue to use our unmatched domain expertise to widen that moat with new planning solutions and enhancements we create or acquire. On top of that, Maestro's new generative and agentic AI capabilities supercharge our existing product differentiation and represent a major step towards more autonomous supply chains that boost productivity, democratize access to data, and generate better customer outcomes. While automation has played a key role across the supply chain for a long time, AI agents will dramatically expand its scope and intelligence. And our AI agents will be able to monitor, predict and take action in real time to handle use cases across the supply chain, like supply and demand disruptions, inventory management and so many others. To extend our value even further and to more users, we will also build connectors from Maestro to work in real time with agents from other supply chain management applications, and with a growing ecosystem of third-party agentic systems, such as Google Agentspace and others. As you know, real-time concurrent orchestration with a much broader range of planning and execution partners, and capabilities with data is fundamental to our growth strategy. To make our ambitious orchestration vision real and seamless, we are actively augmenting our industry-leading platform by building an agentic AI framework, enabling multi-agent communication, and developing our new supply chain data fabric in partnership with Databricks who have been terrific. We now have major early innovator customers working with our initial commercial, generative and agentic AI capabilities, and we will be adding more very soon. We'll continue launching these new capabilities into the market through the rest of '25 and into 2026, along with a new Maestro pricing model that we'll be discussing over time. We couldn't be more excited about how AI will transfer the amount of value we offer customers and the opportunities it represents to Kinaxis. So overall, we're very pleased with our momentum in the final half of 2025, and very excited about the future. The talent that we've added is helping to deliver quarters consistently, and we're in full-scale mode at Kinaxis. Our product is a leader in the market, and our AI enhancements will only add and build on top of that. The Board and I remain focused and patient on finding a new proven CEO with the experience and credentials to be accretive in our exciting direction and momentum. And with that, I'll turn it over to you, Blaine.
Blaine Fitzgerald: Thank you, Bob, and good morning. As a reminder, unless noted otherwise, all figures reported on today's call are in U.S. dollars under IFRS. If you move to Slide 7, I'm very pleased that Q2 was another strong quarter for Kinaxis. To emphasize some of what Bob mentioned, it was our best second quarter ever signing new business, and the second best ever outside of a Q4. This is a great accomplishment in such an unpredictable global trade environment, and testimony to a more scalable go-to-market organization and our ongoing product leadership. Our strong performance in the first half of the year allows us to increase our SaaS revenue guidance for fiscal 2025 on both an as- reported and constant currency basis. Our gross margin and profitability metrics were strong, including new records for profit, earnings per share and adjusted EBITDA. Our trailing 12-month free cash flow margin remains on a great trajectory. Briefly for the second quarter, and compared to Q2 2024 results, total revenue was $136.4 million, up 15%, or 13% in constant currency. SaaS revenue was $88.4 million, up 17%, or 14% in constant currency, 14.5% to be more precise. Our subscription term license revenue was $5.1 million, up 270%. Professional services revenue was $37.4 million, up 2%. While utilization across our internal team remains strong, the modest growth reflects market dynamics that are driving lower-than-expected billable rates, largely due to a more competitive environment, and a broader shift towards partner-led delivery. The latter reflects an intentional trade-off as we reshape our professional services model to enable scale and efficiency. At the center of this transformation is a clear focus on ensuring successful customer deployments, whether delivered by Kinaxis directly or through our system integration partners. To date this year, partners have led, or jointly delivered, more than 70% of new customer implementations won through our direct sales team. These engagements are strengthening our ecosystem, accelerating knowledge transfer and expanding capacity to serve more customers at scale with consistent quality. Looking ahead, we're continuing to invest in high-skill consulting talent, new offerings in AI and data integration, and product enhancements that reduce the cost and complexity of deploying Maestro. While we expect professional services to become a smaller percentage of total revenue over time, it remains a critical enabler of SaaS growth. We're pleased with the role it plays in delivering strong outcomes and faster time to value for our customers. Finally, maintenance and support revenue was $5.5 million, up 10%. Now our gross profit was strong, up 25% to $87.5 million, or a 64% gross margin compared to 59% in the same quarter last year. I am encouraged that for the second consecutive quarter, our software margin hit 80%, up from 74% in Q2 last year. This was due in part to higher subscription term license revenue, more efficient operations and lower amortization. Professional services gross margin was down to 23% from 27%, consistent with my comments around current market conditions for these services. Adjusted EBITDA was extremely strong, up an impressive 54% to $33.7 million, a record level. The margin was 25% versus 19% in Q2 last year. This reflects numerous factors, including our revenue growth, higher gross margin and lower operating expenses as a percentage of revenue. We continue to focus on profitability and gain operating leverage as we scale. Our growth and profitability resulted in Rule of 40 performance for the fourth consecutive quarter, calculated by adding SaaS revenue growth and adjusted EBITDA margin, our usual approach. We are proud of staying at this elite level and continue to target it for full year results no later than 2026. Our profit in the quarter was up 437%, to $18.4 million, or $0.64 per diluted share, both record levels, and versus a profit of $3.4 million, or $0.12 per diluted share a year ago. Profit benefited largely from the same factors that supported our adjusted EBITDA performance. Cash flow from operating activities was $22.6 million, up 72% over $13.1 million in Q2 2024. Cash, cash equivalents and short-term investments were $329.4 million, up over $30 million from $298.5 million at the end of 2024 despite being active with our NCIB program. On Slide 8, our trailing 12-month free cash flow margin remains strong at 19.7%, and on a positive longer-term trajectory. The onetime payments we made in Q1 2025 relating to tax planning and a litigation settlement reduced the results by 5.5 percentage points. So the normalized result is 25.2%. On Slide 9, our annual recurring revenue, or ARR, grew by 15% year-over-year to $391 million, or 13% in constant currency, an increase of $19 million from last quarter, the highest amount ever. The split of gross additions to ARR was 50-50 between new name accounts and expansion business. We remain very pleased with this healthy mix and the recent improvements in our expansion business under our new go-to-market structure. As Bob pointed out, this is the fifth quarter in a row where applications and scenarios combined totaled over half of expansion orders, a positive new trend in the business. This reflects the breadth and value of Maestro's unique capabilities and will also contribute to better margins over time. On Slide 10, our SaaS and total RPO balances remain very strong, growing to $793 million and $834 million, respectively, with 3- year CAGRs of 20% and 19%. This metric continues to highlight growth in our subscription business and our strong gross customer retention. More details on our RPO can be found in the revenue note to our financials. On Slide 11, I'm pleased to update our 2025 guidance. We're maintaining total revenue guidance of $535 million to $550 million. We are moving the constant currency outlook to the same range due to the factors relating to professional services that I discussed earlier. We're increasing our SaaS growth guidance in both as reported and constant currency terms. We now expect SaaS revenue growth of 13% to 15%, in the same range in constant currency. We remain confident with our pipeline for the rest of the year and are encouraged by strong competitive win rates and higher pipeline conversion rates under our new go-to-market structure. We're maintaining our subscription term license revenue guidance of $16 million to $18 million. Note that in the second half of the year, some new customers could land a term license, and other existing term license customers could convert to SaaS, but this is our best estimate for now, and we'll update if necessary as we go. The remaining amount of subscription term license revenue for the year will be weighted slightly in favor of Q3. We continue to expect a strong adjusted EBITDA margin between 23% and 25%. On Slide 12, we have continued to be active in our normal course issuer bid. In the first half of 2025, we repurchased 283,297 shares, at an average U.S. dollar price of $125.85, or an investment of roughly $35.7 million. Our NCIB goes through November 5, 2025. Overall, I'm very pleased with where the business is at. A number of key business metrics are hitting record levels, and we're just at the beginning of a go-to-market transition and the coming AI transformation. I'm excited to see where the business can go from here. As always, thank you for your ongoing interest in Kinaxis and support to date. I will now turn the line over to the operator to start the Q&A session.
Operator: [Operator Instructions] Our first question is from the line of Richard Tse with National Bank Financial.
Richard Tse: Bob, I was wondering if you could maybe talk about the selling environment today. It seems like things have improved a bit, but I'd like to sort of maybe get some commentary. So has the sales cycle improved, softened, stayed the same since, let's say, the beginning of this year?
Robert G. Courteau: I think the demand curve is similar to what it's been in the past couple of years. However, saying that our win rate is much improved. Our execution through the cycle is stronger, and we're working with a larger pipeline overall. So I think for us, when you put those three things together, it really leads to the kind of success we're having in the quarter, but also when we look forward into 2026, the interest, some of it driven by tariffs. But in general, I think people understand more and more the importance of having a strong supply chain planning and orchestration strategy. And that's probably the biggest change that's occurred. Some of it, again, driven by tariffs. But because of that, we're seeing heightened interest in the company, and that's all quite positive. For sure, our execution around deals is much improved and thus the win rate factor.
Richard Tse: Okay. And just my sort of second question is kind of related to that. There's no doubt you've made some fairly notable changes on the sales and marketing side to get to this point. Do you see the business going back to kind of, let's say, the 20% growth rates you've had in the past? And under sort of what kind of conditions or variables would be required to get to there?
Robert G. Courteau: I think what we've said is that we have a company now that should be operating at a Rule of 40 performance. And as we go forward, and as we deliver our AI products and the data that we produce becomes more important to the organization, we see some interesting growth opportunities that allow us to imagine that we could go faster. But we're not going to get over our skis here. We absolutely -- as Blaine, I can't remember exactly the words he used, he said we're a company that is going to invest in the right areas in a very conscious fashion, with a view that we're going to make sure that we deliver that over 40 performance. I think the fact that we have a company that is in the sweet spot, that should be sustained around, really understanding your supply chain data and what it means to things like guidance, treasury and all parts of the organization, that we have an unlock opportunity with AI that's incremental, that would allow us to imagine that we could find ways to grow the business more. And if we see those opportunities, we're going to take them.
Operator: Our next question is from the line of Thanos Moschopoulos with BMO Capital Markets.
Thanos Moschopoulos: Bob, maybe just circling back on the spending environment. You said the demand has been relatively consistent. And just given the tariffs and Liberation Day, I would have thought that there'd be maybe more of an impact on your business. Are there underlying themes in terms of maybe just the nature of organizations that are engaging with you that has changed post the tariff discussion, or in terms of time frames or top of funnel? Is it that maybe some verticals are seeing accelerated decision-making, but others are seeing delayed decision-making as a result? Just any additional color on the next layer of that would be good.
Robert G. Courteau: The execution that we talked about at the back end is something that is, I think, pretty well understood. But our -- when you look at the mix of customers, we're doing super well in markets like Japan, Asia. Europe has been pretty strong. We look at our forward demand in the U.S., looks good. So I think the one story is that we've added, I don't know, 40-plus people into our go-to-market capacity where we've really brought a lot of talent in the organization, and we're winning in all markets. So that's one thing you have to understand. So you're working off a bigger pipeline. Secondly, our product execution and our -- when you are in the throes of a deal with some of the most important companies in the world, they're looking at it today. They're looking at what you've done in terms of references for other customers, and they're betting on the future. And in all three areas, we deliver projects on time, customers get value. We're differentiated on the core product with Maestro, and we have the best story on AI. And so we're presenting that to customers. They get it, and it's causing us to not only win in the core industries where we have the biggest and most important customers on our platform. But if you look at the quarter, the world's largest dairy is a company that might have been, in the past, something that maybe one of our competitors are winning. So we're winning in chemical. We're winning in fluids because we have a really, really, obviously, a strong product. But when you start -- as I said in my comments, when you start thinking about democratizing data, using that data in more strategic ways, using it to manage your overall plans for the company, we got a great story for the future as well. So we love our position. We've got a better team, building on what was already a very strong team. And we're in, virtually, all of the opportunities that are available in the market, and we're winning.
Thanos Moschopoulos: Great. And then just one for Blaine. Blaine, can you remind us in terms of how much runway may be remaining on normalized software margins as you further progress with the cloud transition?
Blaine Fitzgerald: The software margins, the last time that I think we got to report 80% subscription margin, software margins, I think it was back in Q4 2022, and we were helped out a little bit by term license that quarter. So obviously, very proud. We're getting to some of the levels we're at a little bit earlier than we expected. There definitely is some runway, and I'm excited to say that our cloud services team is hitting out of the park, not only with making sure that we have the right agreements with our two key cloud providers being GCP , so, Google and Microsoft Azure, but also performing at a high level with a team that hasn't been growing at the same rate that our customer base has been growing. I do think that, that 80%, I guess, target that we've had for a while is something that we're going to play around with for the near term. But I think we have at least a couple of percentage points, if not a little bit more on the subscription side that we'll see as we go forward. Now, the one other caveat to all of this is that -- or [ risk ] is that I think there's -- one of the reasons why we're doing so well on the subscription margin is because of the fact that we're doing much better on the expansion part of our business. We're obviously getting much higher margins on that expansion business. So every single time that myself or Bob gets to talk about the fact that we're moving that balance from winning new logos to winning even more expansion business, I know that it's helping my bottom line, and that's a testament to some strong work that the go-to-market team has been doing, I think.
Operator: Our next question is from the line of Paul Treiber with RBC Capital Markets.
Paul Michael Treiber: It's been a couple of months since you've announced the new AI features as part of Maestro. What's been the feedback from customers and then the pipeline build related to AI? And then how are customers thinking about ROI on those AI features, and also related to that, is the potential pricing for AI?
Robert G. Courteau: I think that really -- the way we're thinking about it, Paul, is that if you look at Maestro, in some crazy way, you can think about it as a super agent. The things that we do in creating scenarios are all based on a real investment in machine learning to really be able to do the computation calculations that allow us to create these scenarios. What we're doing now with products like enterprise scheduling, supply.ai, demand.ai, is extending that from that Maestro platform. And that's part of the reason that we're seeing better win rates because we do the core better than everyone else. We've extended the functionality back into your supplier networks. We're starting to create tools that allow you to get a better handle on demand and forecasting. And with some of the most important and biggest companies in the world, they can actually calculate their improvements in on-time delivery. And so that's a huge advantage. What the agentic AI and GenAI provide is a road map now to democratize that data through your organization and make the company better overall. I think that's huge. And what we're doing right now, the way we've decided to approach the market, instead of a mass release of our new agentic AI products, is to pick very carefully some of the most important companies in the world to partner with them on solving problems that are most critical to that company. And that's a real focus in Q3 and as we go into Q4 to stand those up as an extension to the Maestro capability. And why I like all of this? If you decode it is that our core business is in really good shape and growing. We've got strong win rates and new functionality. And what we do in AI, particularly with GenAI and agentic AI, is incremental to that opportunity.
Paul Michael Treiber: Okay. That's helpful. I understand. And secondly, just on the CEO search, I mean, obviously, no news there. Can you provide an update and expectations just going forward here?
Robert G. Courteau: I think with the Board, we've been really, really happy with the performance of the company. And once we got into this and we hired Mark Morgan, the game changed in terms of where we really believe that we have to take the company and set a higher bar. We've seen super strong candidates that you would consider traditionally good software leaders, people that can run a software company. And as we've nuanced our expectations, we're definitely looking for somebody that is going to be able to take advantage of that second part of the story that I described around AI, and creating new business models. And even about thinking about the different ways that we're going to set up partnerships. So the bar got higher. We're still seeing great candidates. We're not holding it up. We'll take action at a time that makes sense, but we don't want to set a fixed time line.
Operator: Our next question is from the line of Lachlan Brown with Rothschild.
Lachlan Brown: Performance obligations for 2026 had a pretty good delivery in the quarter. They represent a greater share of the IPO than this time last year. Could you talk to the nature and the timing of the deals that you secured in the quarter? And I guess if you look back over the last 12 to 18 months, we did see a more of a skew towards those outer year bookings as deals got pushed out. So are we now seeing a pivot away from that to customers moving quickly -- more quicker on Kinaxis rollouts?
Robert G. Courteau: Do you want to go?
Blaine Fitzgerald: Yes. So great observation. I think we are seeing less of those, I guess, trailing deals or phased deals as we call them. We -- I think part of the change in the go-to-market structure, Mark and his team have been emphasizing trying to limit those type of deals. I think we're also in a different type of environment in terms of -- we were trying to get a lot more deals over the line over the last 2 years where it was necessary to put phase deals in place. We're not seeing that same type of pressure at this stage, which is nice for us and nice for the team not to have to put some gymnastics into the contracts. Overall, we're -- part of the RPO issue that we have. And as a result of having the contracts that are anywhere between 3 and 5 years, we will be kind of limited in certain years when we have a low renewal cycle. This happens to be a medium renewal cycle that we have in place. So we've had a number of renewals. I was -- we had obviously a Board meeting yesterday and the person who's in charge of our renewals, which is saying the amount of activity they're seeing is it's super high numbers that you're seeing right now in terms of the renewal activity that the team is having to deal with because these contracts are going through. And that will kind of fluctuate how you think about RPO. So this is why sometimes we like to make sure that people think of the 3-year CAGR which is getting closer and closer to adjusted EBITDA, but obviously still above. We're proud that it's at 20% for SaaS. The 19% for the total RPO is right in line with what our expectations were. And we have a loyal customer base. We have a lot of renewals that come through. We don't have that much churn or downsell, so we're in a great spot. But we always have to be cognizant of the fact that renewal cycles can play a little bit of havoc with how the growth is in the short term.
Lachlan Brown: That's very clear. And then maybe another RPO question. If we take the performance obligations for the remainder of 2025 for the SaaS revenue guide, I think it only implies you need about $6 million bookings to achieve the midpoint, and $9 million at the top end, which, based on your previous performance, doesn't seem too difficult to achieve. So I just want to clarify that -- is this just conservatism within the guide? Or is there anything else that we should consider?
Blaine Fitzgerald: Straight at it. We knew we had to increase our guidance to where we're at right now. The company is executing extremely well, just like Bob said. I think 13% to 15%, we're extremely confident that we're going to hit that. We are also hearing some other peers/competitors having some issues out there. There's been some announcements that weren't great. And just like we said last quarter, we're being prudent with our SaaS guidance. I think there's -- we are looking at Q3 and Q4, and there's some nice things in front of us right now, but we don't want to get too far in front of our skis. So I will say I'm very confident with the 13% to 15% that we just raised, and we'll see in the next couple of quarters if we decide to increase it some more.
Operator: Our next question is from the line of Suthan Sukumar with Stifel.
Suthan Sukumar: First question will be over to you, Blaine. Just on the margin expansion outlook. It feels like with the level of expansion business that you're seeing and what also looks like stronger partner engagement, that sort of suggest potential for better-than-expected operating leverage in the business. Any view on how you're thinking about your medium-term targets here for EBITDA margins as you start to kind of balance that with ongoing investment?
Blaine Fitzgerald: One of the most common discussions that Bob and I have is when do we have a discussion about midterm targets for our bottom line. Obviously, we're hitting 25%. We've been doing it for a little bit. We are also leaving it there for now, just as we try and determine how we're going to invest in the company to make sure that we maximize our growth because as you heard from a previous question, there are some demands to try and get us back to the 20% on SaaS growth. And we think there's opportunities to do both. So we're leaving our options open, not giving you our new midterm targets yet, but we think there's some opportunities to keep expanding our margins on the bottom line.
Suthan Sukumar: Okay. Great. That's helpful. And for my second question, I just want to touch on AI monetization. It's good to hear from where I said that you guys are taking a very thoughtful and calculated approach on rolling out AI and your agent strategy. But curious, how are you thinking about the inherent pricing opportunity here as you move forward? Will these capabilities be sold as premium add-ons? Or are they more of a lever for more premium pricing on the core platform? Or is there maybe a usage monetization angle to kind of think about?
Robert G. Courteau: First of all, as I said, it enhances win rate on the core platform. And the technologies that are available to enrich the experience for our customers, things like confidence in the data, new data sets coming into Maestro, create a big differentiation from our competitors, like -- and that's part of the win rate, particularly when you start seeing, as I described, some of these new industries and geographies. When they understand that in Maestro, it creates an opportunity for us to continue to grow the business against some of the questions that Blaine just asked. So from that, the level of relevance of orchestration and planning inside the company is only going to increase. And GenAI and agentic AI allow to move to a much richer experience in terms of exploring what if analysis throughout the company. And what will come with that, which is really, I think, fairly cool is that in the agentic AI experience, it's not simply [ TAM ] products that produce useful information on a consistent basis from customer to customer. It's the problems or opportunities that you're trying to develop through configured agents that really give you insight into the performance of the business. When you marry that up with concurrent data inside Maestro, this truly leads to an orchestration environment. And we can get paid for that through win rate. We can pay for that through expansion in our customer base. We get paid for that in terms of a new revenue stream. And finally, we believe that we can create an open platform that allows us to partner and integrate with other players -- software players in the marketplace to really create some opportunities. So it's just -- look at it, it just really changes the paradigm of the importance of our products and the expansion opportunities that come with it.
Operator: Our next question is from the line of Stephanie Price with CIBC.
Stephanie Doris Price: I just wanted to circle back on the sales team. And just in terms of the go-to-market changes that Mark Morgan has implemented since he's joined, can you talk a little bit about how far along you are on those changes? And how you think about these new sales reps versus the historical reps you've hired? And maybe expectations on sales hiring for the remainder of the year?
Robert G. Courteau: We have had a really good team here. We have some of the best salespeople and have had some really good maturity and experience throughout our organization. The big thing that we're trying to do now is to exploit our strengths in things like high tech, the industry strength that we have. So a lot of the different hiring that we're doing now is to double down on the expansion within geography and industry in a way that even gives us a greater strength on top of our historical product strengths. And then I think the place where we've really, really done well is in second-level management. The regional guys are -- these people are strong, Fabienne, Philip and Jeff, super leaders in the industry. Jeff being new to the company, probably of the three. We've added great talent in markets like Japan, DACH, Germany and the like. Europe, we brought in a new leader out of SAP actually that is focused on the customer base. So the big change has been in terms of bringing some people -- additive, like incremental people in to really prosecute against the best practices that you would see in software. And then it's all hands on deck. When you're going after some of the largest companies in the world, we've got our executives engaged. We've got product engaged. We've got Blaine engaged in these deals. And the level of scrutiny on these deals, which is a hallmark of great software companies, is really, really, really tight. And really understanding the competition and their gaps is a big part of that. And I would say that the work that we do in terms of understanding how to build a company-to-company partnership at an executive level has really evolved. And that's -- I mean, look, as the interim CEO, I think I got a lot of experience in that respect all the way back to SAP. And with Mark Morgan and the team that we put around him, we're a tough company to beat right now.
Operator: [Operator Instructions] our next question is from the line of Mark Schappel with Loop Capital Markets.
Mark William Schappel: Bob, in your prepared remarks, you mentioned your partnership with Databricks and plans to add new agentic capabilities into the market with them. I was wondering if you could just provide some additional details around how you are working with Databricks in that area?
Robert G. Courteau: Yes. Databricks as a company -- well, first of all, they've been a terrific partner, bringing a lot of talent to bear in terms of building our data fabric model. So the place where Databricks is going to be super important is in the category of building our data platform to be able to deliver data throughout an organization. But on top of that, really looking at how we have a platform that we can drive partners with as we go forward. And then as a company that is in the market in the data marketplace, it also allows us to think about how we change our pricing model and economics around data. And why I like it right now is that they're pushing new economic models in the market and they're sharing -- and we are building a plan with Databricks that allow us to really go after this together. They -- and then finally, if you look at the AI evolution, I really -- look, we looked at the market to see what the different scenarios we could consider. We looked at Databricks as a company that could be the most innovative, not only for today, but for what we're trying to do with our overall platform model. Because the evolution is defend Maestro, modernize Maestro, extend Maestro, build in a platform for our customers and our prospects that see how they can use that data inside their company with agentic AI and GenAI and then be a wide marketplace partner. And when you're a wide marketplace partner, that's where Databricks is going to make a difference for us as we think about the kind of partnerships that we can create as we go forward. And we're not just doing it with Databricks. We're talking to a few other companies about their strategy around AI and how we can deploy and create a better experience for our customer. But the neat thing about Databricks, they're in there. They're adding resources. They're giving us ideas. We get to learn how they've created their economic models. These are ones that we can bring into our company. And so we highlighted them a bit today, and we're really, really happy about how they performed.
Operator: Thank you for your question. And ladies and gentlemen, that will close our Q&A session for today. I'd like to turn it back over to Mr. Wadsworth for any closing comments.
Rick Wadsworth: Great. Thank you, everybody, for participating on today's call. We appreciate your questions, as always, and your ongoing interest in, and support of Kinaxis. We look forward to speaking with you again when we report third quarter results. Thanks, and goodbye.